Operator: Good day and welcome to the OFS Capital Corporation Fourth Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Steve Altebrando, Vice President of Investor Relations. Please go ahead.
Steve Altebrando: Thank you. Good morning, everyone and thank you for joining us. With me today is Bilal Rashid, our Chairman and Chief Executive Officer; and Jeff Cerny, our Chief Financial Officer and Treasurer. Please note that we issued a press release this morning announcing our fourth quarter results. This press release was subsequently filed on Form 8-K with the SEC. Both documents can be obtained under the Investor Relations section of our website at ofscapital.com. Before we begin, please note that statements made on this call and webcast may constitute forward-looking statements within the meaning of the Securities Act of 1933 as amended. Such statements reflect various assumptions by OFS Capital concerning anticipated results, are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some ways beyond management’s control, including the risk factors described from time-to-time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove inaccurate and, as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on those forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein. All forward-looking statements speak only as of the date of this call. Also during this call, the management will refer to a non-GAAP financial measure, adjusted net investment income. This measure is not prepared in accordance with U.S. Generally Accepted Accounting Principles. You can find a reconciliation of this non-GAAP financial measures in most directly comparable GAAP measures and other related information in OFS Capital’s fourth quarter and full year 2016 earnings release and in the Investor Relations section of our website at ofscapital.com under the heading Tax and Non-GAAP Information. With that, I’ll turn the call over to our Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Good morning and welcome. 2016 was a successful year for us and we had another particularly strong fourth quarter with net investment income of $0.39 per share, which is significantly more than our $0.34 distribution and our net investment income in the third quarter. This $0.05 per share increased in net investment income from the third quarter was largely due to higher interest income and represents our seventh straight quarter of exceeding our distribution on an non-GAAP basis. Overall, for 2016, our adjusted net investment income was $1.45 per share compared to our $1.36 per share distribution, representing a healthy distribution coverage of approximately 107%. Over the last two years, our adjusted net investment income, a non-GAAP measure was 107% of our distribution. Our net asset value increased slightly from $14.67 per share for the third quarter of 2016 to $14.82 per share. This continued stability is a result of our core underwriting standards, which have resulted in a strong overall credit quality of our portfolio. During the quarter we restored our only loan on non-accrual to cash accrual. Jeff will have more on this later in the call. We had no new non-accruals in the quarter. Last year’s performance continues our history of generating consistent results in both good and challenging markets. Over the last five years, we have invested $486 million and had a cumulative net realized loss of just $800,000, which is less than two tenths of 1%. Since our initial public offering we have delivered a consistent net asset value and a compelling yield for our investors during a low interest rate environment. We believe that that strength of our platform is the key to this performance, which relies on our time-tested underwriting standards and our hands on portfolio management approach. This has led to a strong total return for our shareholders. As measured by distributions plus the growth in our net asset value over the last two years, our total return has been 23%. Our long-term performance has been enhanced by the long-standing alignment of interest between our shareholders and our external manager, which owns more than 30% of the Company. Looking forward, we believe that we are well-positioned for a rising interest rate environment as approximately two thirds of our loans are floating rate while 100% of our debt is fixed. Also, our attractive long-term financing includes a $150 million in fixed rate SBA debentures through the SBIC program with a weighted average coupon of 3.18% and no maturities until 2022. This low cost of debt continues to have a meaningful positive impact on our return on equity, especially given the size of our portfolio. In terms of our investments, 74% of our loan portfolio is senior secured. As we move deeper into 2017, our focus remains on the lower middle market, particularly the non-sponsored segment of that market. Over the years, we have been able to establish a competitive advantage in this underserved market segment. Having cultivated long-standing relationships and having a team with deep experience in this market segment, we continue to believe that currently our best opportunity to generate strong risk-adjusted returns is in this part of the middle market. We have significant capital on hand as well as several additional alternatives to raise new capital, to grow net investment income and our distribution. As of the end of the fourth quarter, we had $18 million in cash and $15.5 million undrawn on our revolving credit facility. Additionally, we have $18 million invested in the senior club loan portfolio that can be redeployed in higher yielding investments. We will continue to actively monitor the capital markets to raise additional capital. We expect to continue to finance the Company in a thoughtful manner. Lastly, our application for a second SBIC license is still pending, and if approved, will provide access to additional capital through SBA debentures. As a reminder, our existing SBIC debt does not count towards the BDC asset coverage test. As you know, we have access to the broad expertise of OFS Capital’s experienced external manager, which has an approximately $1.6 billion credit platform. We believe that we are well-positioned to continue our growth and navigate any potential changes in the market environment, given that the manager has successfully navigated multiple credit cycles since its inception in 1994. Our team has a size, relationships and breadth of expertise across all parts of the leverage loan market to provide us with considerable capital markets intelligence as well as industry expertise. The OFS platform allows us to see a broad array of potential transactions and to be highly selective in making investments. We are confident that our long-term focus will continue to serve us well. We expect to maintain our strict underwriting standards, avoid highly cyclical sectors, be responsive to our borrowers’ needs by providing flexible capital solutions, and remain focused on the best risk-adjusted returns for the long term. As a result, we expect to maintain a reputation as a reliable partner and continue to receive good quality deal flow. At this point, I’ll turn the call over to Jeff Cerny, our Chief Financial Officer.
Jeff Cerny: Thank you. We’re pleased with our fourth quarter results. As Bilal just mentioned, we continued to focus on the credit quality and stability of our portfolio, which has resulted in a stable net asset value over time. We have 12% of our net asset value in cash and the potential to borrow additional capital. As you also just heard, the vast majority of our debt at quarter-end is long term fixed-rate SBA debentures with a weighted average coupon of 3.18%. These debentures do not count towards our asset coverage ratio and coupled with our cash position, gives us room to grow our net investment income. Our minimal regulatory leverage puts us at a competitive advantage relative to many of our peers. Turning to our portfolio. At the end of the quarter, we had investments in 41 companies totaling $281.6 million on a fair value basis, which is above our costs. At December 31, 2016, the debt portfolio is at 98.2% and the equity portfolio is at 122.6% of cost. As a percentage of fair value, our investments were approximately 64% senior secured loans, 23% subordinated debt, and 13% equity. As a percentage of cost, our equity investments were approximately 11%. It is important to note that approximately 60% of the equity investments produce investment income due to their contractual coupons. Our portfolio remains well-diversified with an average investment in each portfolio company of $6.9 million or 2.4% of the total portfolio. The overall weighted average yield to cost on our debt investments remained strong and increased approximately 31 basis points from a 11.77% last quarter to 12.08% this quarter. At the end of the quarter, two-thirds of our loan portfolio had floating rate coupons which are just beginning to benefit from rising rates. About 41% of floating rate portfolio is tied to three-month and six-month LIBOR, and recently both rates cleared the typical 1% LIBOR floor, indicating additional interest income starting in the first quarter of 2017. 59% of our floating rate portfolio is tied to one-month LIBOR, and that remains just below the 1% floor. Our only non-accrual last quarter, Community Intervention Services with a total principal balance of $8 million and a total fair value of $5.4 million was amended in late December. The amendment resulted in cash interest resuming on a current pay basis and a cash and PIK rates were amended. We received cash and PIK interest from prior quarters on an amended basis. We restored this investment to cash accrual but have left it on PIK non-accrual until we recognize further improvement in the underlying performance of the Company. Total investment income increased compared to last quarter. We derived approximately $8.2 million in total investment income in the fourth quarter compared with $7.4 million in the third quarter. The increase as compared to last quarter was primarily driven by deployment of available cash into deals producing comparable yields along with community interventions, cash interest coming off non-accrual. These increases were more than sufficient to achieve our distribution target of $0.34 per share. Total expenses of $4.5 million increased compared to $4.1 million in the prior quarter. The change was primarily driven by increases to management and incentive fees. Net investment income for the fourth quarter was approximately $3.7 million or $0.39 per share, exceeding our distribution of $0.34. As Bilal previously mentioned, we have more than covered our distribution for seven consecutive quarters on an adjusted NII basis. As to deal activity, during the fourth quarter, we closed transactions with an aggregate invested amount of $28.4 million. We continued to maintain a consistent risk tolerance in our sourcing and underwriting and have access to meaningful deal flow that allows us to be selective. We believe that the strong historical performance of our portfolio has been driven by a commitment to underwriting and structuring, a commitment that we will maintain. As the broader middle market tightens, we continue to believe that the non-sponsored, lower middle market segment provides the best risk-adjusted returns and as such, we will continue to place an emphasis on that sector of the market. As the market evolves, we will continue to offer competitive pricing for excellent credit opportunities. At quarter’s end, we had approximately $18 million of cash, $18 million remaining in lower-yielding assets and the potential to borrow or raise significant additional growth capital. We continue to believe that we have the flexibility to execute on our investment strategy and increase our earnings per share. Early in the fourth quarter, we upsized our line of credit by $10 million to $25 million, which allows for additional flexibility in our business going forward. At quarter’s end, we had drawn $9.5 million on that line. As mentioned, we will remain selective on credits, structure and pricing. We intend to continue to prudently deploy capital and generate liquidity on a timeline that allows us to maximize our earnings for our shareholders. As we have mentioned in the past, we expect to raise capital when we believe it is accretive and can be deployed in a timely manner. With that, I will turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. 2016 was another year when we demonstrated consistent performance both in terms of our net asset value and our earnings. This was a result of our consistent approach to underwriting and portfolio management. As we move into 2017, we expect to apply the same approach that has served us well over the last several years. Our investment platform has a long history and it has weathered multiple credit cycles and changes in economic environment since its inception in 1994. Our hands-on approach to portfolio management positions us well for changes in the economic environment. Our underwriting capabilities and the long-term alignment of interest between our shareholders and our external manager which owns more than 30% of our company have also contributed to our strong results. We will continue to focus on delivering capital to the lower middle markets especially to the non-sponsored community, which is where we continue to find attractive risk-adjusted returns as evidenced by their attractive yield on our loan portfolio of more than 12%. We have significant capital resources available to continue originations and grow our earnings. As I mentioned before, we believe that we are well-positioned for a rising interest rate environment, given our attractive, long-term fixed rate financing through the SBIC program with a weighted average coupon of 3.18%. Additionally, about two thirds of our loan portfolio is floating rate. Our focus is to provide long-term value to all of our stakeholders including both shareholders and borrowers. As a lender, we will continue being responsive to the needs of our borrowers by providing them flexible capital solutions. With that, operator, please open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Bryce Rowe of Baird. Please go ahead.
Bryce Rowe: Bilal and Jeff, I was curious and appreciative of the information you gave on the floating rate nature of the investment portfolio and the ties to the certain rates, three months, one month and six months LIBOR. Just curious, maybe if you could help quantify what percentage of the portfolio is actually through those floors and then maybe what the average floor is based on those certain time periods?
Jeff Cerny: Yes, absolutely. Bryce, this is Jeff. How are you?
Bryce Row: Good.
Jeff Cerny: Yes. So, we -- about 60% of the floating rate book is in one month LIBOR and that is just hovering under 1% right now. The average floor is right around 1%. So, at yearend, let’s say, maybe 5% of the book had cleared the floor; as we sit today, closer to 40% of the book has cleared the floor; and very soon, we could have 100% of the floating rate book that ends up clearing the floor and that’s about two thirds of our overall book.
Bryce Row: Right, okay. And I would guess that the majority of the portfolio tied to three and six months is already cleared?
Jeff Cerny: That is correct. Yes. Really all of it has cleared . And so that’s about 40%. And then the remaining 60% is in one month LIBOR. So, with each 50 basis-point increase over the floor, once we clear that floor, we are looking about $0.07 per share annually.
Bryce Row: Okay. That’s really helpful. Maybe a couple more, just you talked about the new activity for the fourth quarter and the focus on non-sponsored in the lower middle market. We were wondering if those three new investments were non-sponsored investments.
Jeff Cerny: Two of the three would be -- one of the three would be non-sponsored, and the coupons range from about 9.5% to 14%.
Bryce Row: Okay. Then last question from me, now that we’re almost through the end of the first quarter of 2017, I’m just curious if you could update us on any kind of investment or repayment activity you’ve seen here in the first quarter of 2017? Thanks.
Bilal Rashid: This is a Bilal. So, I would say that on the origination side, first quarter tends to be seasonally slow for us. And so, just like last year, this quarter has started up on a slow basis, the deal flow has really picked up I would say in the last couple of weeks. So, as you know, these deals take several weeks, sometimes couple of months to close. So, I would say without giving any specific numbers that the year started very little slow, but things are picking up, and we expect the pipeline to grow as we go through the year. With respect to prepayments, again, without talking about specific numbers, I would say that over the last few quarters, the prepayment activity has actually been historically low for us. We expect the prepayment activity to pick up here a little more and come back to the normal level. So, that’s what I would say on both prepayments and originations for this quarter.
Bryce Row: That’s helpful. Thank you, Bilal.
Operator: [Operator Instructions] We have no further questions at this time. I would like to turn the conference back over to Bilal Rashid for any closing remarks.
Bilal Rashid: Thank you all for joining our call today. And we look forward to speaking with everyone again next quarter. Operator, you may now end the call. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.